Operator: Good evening. My name is Marcus, and I will be your conference operator today. At this time, I would like to welcome everyone to the Salem Communications Second Quarter Earnings Conference Call. All lines have been placed on mute to prevent any background noise. After the speakers’ remarks, there will be a question-and-answer period (Operator Instructions). It is now my pleasure to turn the floor over to your host, Mr. Evan Masyr, Senior Vice President and Chief Financial Officer. Sir, you may begin your conference.
Evan Masyr: Thank you, and welcome for joining us today, for Salem Communications’ second quarter 2007 earnings call. As a reminder, if you get disconnected at any time, you can dial in to 973-935-8511 or listen from our website at www.salem.cc. I am joined today by our Chief Executive Officer, Edward Atsinger III, our President and Chief Operating Officer, Eric Halvorson. We’ll begin in just a moment with opening comments from Edward Atsinger and I will then provide a brief financial overview. After our prepared remarks our conference call operator will come back on the line to instruct you on how to submit questions. Please be advised that statements made on this call that relate to future plans, events, financial results, prospects, or performance, are forward-looking statements as defined under the Private Securities Litigation Reform Act of 1995. Actual results may differ materially from those anticipated as a result of certain risks and uncertainties, including but not limited to market acceptance of Salem’s radio format, competition in the radio broadcasts, Internet, and publishing industries, and new technologies, adverse economic conditions, and other risks and uncertainties detailed from time to time in Salem’s reports on Forms 10-K, 10-Q, 8-K and other filings filed with or furnished to the Securities and Exchange Commission. Listeners are cautioned not to place undue reliance on these forward-looking statements, which speak only as of the date hereof. Salem undertakes no obligation to update or revise any forward-looking statements to reflect new information, changed circumstances or unanticipated events. This conference call also contains non-GAAP financial measures within the meaning of Regulation G. Specifically station operating income, EBITDA, and adjusted EBITDA. In conformity with Regulation G, information required to accompany the disclosure of non-GAAP financial measures, including a reconciliation of such non-GAAP financial measures, included in this conference call to most directly comparable financial measures, prepared in accordance with Generally Accepted Accounting Principles, is available on the Investor Relation’s portion of the Company’s website at www.salem.cc, as part of the current report on Form 8-K and earnings release issued by Salem earlier today. I will now turn the conference call over to Ed Atsinger.
Edward Atsinger, III: Thank you, Evan. Good afternoon or evening, wherever you maybe. Thank you for joining us for our second quarter 2007, earnings call. I would like to begin my comments by discussing recent developments in Salem communications. On June 25th, we issued a press release, outlining changes in our management team, effective July 1st. I am pleased to have Eric Halvorson back in the management position with Salem, now serving as our President and Chief Operating Officer. Well, Eric will remain on our Board of Directors. His duties as Chairman and as a member both of the Audit Committee and Nominating and Governance Committees did terminate with his taking on this role. Additionally, Joe Davis who is named Division President, Radio and David Evans is now Division President, New Business Development, Interactive and Publishing. Finally, Evan Masyr has been promoted to Senior Vice President and has also been named Chief Financial Officer. These changes will allow us to more effectively focus on the opportunities and challenges in both our core broadcasting business and our developing new media businesses. Eric who is with us today, and it was mentioned on the call, he is with us today, on future calls will become more involve with -- as he becomes more involved with operation on future calls. Eric will take a lead role in these earnings reports and calls. I’d like to now discuss our result for the quarter. We achieved an overall revenue increase of 7% comprised of 6% increase in net broadcasting revenue and a 13% increase in non-broadcast revenue. Let me provide some additional details starting with our radio business. We have 45 stations programmed in our foundational Christian teaching and talk format and these stations contributed 45% of our total revenue. While, net broadcasting revenue for these stations was flat compared to the prior year. Block programming revenue increased by 6%. The reformat and relaunch of our Miami station as Christian teaching and talk station in January contributed to some of the growth in block programming. Offsetting the programming growth was a 13% decline in advertising revenue. This declined was due to challenges we have and are experiencing in a few of our key markets, most notably in New York, Washington D.C. and San Francisco. Block programming contributed 61% of the revenue on our Christian Teaching and Talk stations and continues to be a significant contributor to our performance. We have 13 stations programmed in our Contemporary Christian Music format The FISH, which grew revenue 11% in the quarter and contributed 22% of our total revenue. Our flagship CCM station, KLTY in Dallas continue to show impressive gains by increasing its revenue for the quarter by 23%. Contributing to this growth was revenue earned from KLTY's annual concert Celebrate Freedom, which was held in late June this year, as compared to July in 2006. Advertising revenue for KLTY increased 12% for the quarter. As we stated in the past, our goal is to replicate the success of KLTY in our other FISH markets, particularly where we have a full FM signal. I’m particularly encouraged by our progress at WFSH in Atlanta, which posted a 14% growth in revenue. Our 30 News Talk stations had a 1% decrease in net broadcasting revenue on a same station basis and contributed 13% of our total revenue. The performance of these stations was negatively impacted by the performance of KRLA in Los Angeles, which experienced an 18% decline due to our weak radio advertising market in Los Angeles area. Excluding KRLA, our News Talk stations grew revenue by more than 5% for the quarter. We continue to make investments in this format both in marketing and in programming. During the quarter, we increased our marketing expenditures over 2006 in Chicago, Denver, Los Angeles, Louisville, and Phoenix. And we are likely to spent additional money marketing during the second half of 2007. It will be necessary to continue our investment in programming and marketing to drive our News Talk stations to the next level of maturity. Finally, with regard to our radio assets during the quarter we closed on our sale of WVRY-FM to Grace Broadcasting Services Inc. in Waverly, Tennessee for $900,000. And we continue to review our under performing stations particularly those in non-strategic formats to determine if sale might be a better way to monitize these assets. We will keep you updated on any future developments in that area. Our non-broadcast business delivered another strong quarter driven by both organic growth from our Internet business and from our publishing acquisitions. For the quarter, non-broadcast revenue increased 36% to $6.3 million or 11% of total revenue, and non-broadcast operating income decreased to $700,000 from $900,000 in the prior year. This slight decline in profitability is due to an increased investment in the development of our magazine websites and revenue softness in our magazine division. Our Internet business increased revenue 34% to $3.1 million and increased profit to $600,000 from $400,000. The monthly page views associated with our Internet businesses also continue to grow at an impressive rate, increasing by 84% to $109 million monthly page views across our entire network. Our Christian content websites averaged $68 million monthly page views in the second quarter, an increase of 16% over the prior year. Townhall.com our conservative opinion website, which we acquired in May of 2006 grew monthly page views to an average of $39 million page views for the quarter from a base of $12 million at the time of its acquisition last year, making it the number one, conservative opinion website in terms of page views. With that, let me now turn the call over to Evan Masyr for additional discussion of our second quarter 2007 results and to provide also third quarter 2007 guidance. Evan?
Evan Masyr: Thank you Ed. Our results for the second quarter of 2007 were issued in the press release earlier today and are available on the Investor Relations portion of our website. I’ll now briefly comment on these results. Total revenue for the second quarter increased 3% to $60 million and adjusted EBITDA increased 4% to $16.4 million. Net broadcasting revenue grew 1% to $53.7 million and station operating income increased 1% to $20 million, non-broadcast revenue increased 36% to $6.4 million. On a same station basis, net broadcasting revenue grew 2% and SOI increased 1%. Let me provide some detail by revenue type comparing second quarter 2007 results to the prior year. Same station block programming revenue grew 4% to $18.7 million; same station local advertising revenue was down 5% at $22.2 million. Same station national advertising revenue including spot and network revenue grew 2% to $7.7 million. Other revenue, which includes infomercials increased by 34% on a same station basis to $4.3 million, this increase is principally due to the timing of KLTY Celebrate Freedom concert, which as Ed indicated, occurred in the second quarter of this year, as compared to the third quarter in 2006. Our same station results include broadcasting revenue from 92 of our radio stations and our network. This represents 99% of our net broadcasting revenue. Let me now comment on our balance sheet. As of June 30th, 2007 we had net debt outstanding of $347.9 million, including $8.5 million outstanding on our revolver. We were in compliance with the covenants of our credit facilities and our bond indentures. Our leverage ratio was 5.6% versus a compliance covenant of 6.75 and our bond leverage ratio was 4.9% versus a compliance covenant of 7. For the third quarter of 2007, projecting total revenue to be between 58 and $58.5 million compared to third quarter 2006 total revenue of $57.9 million, adjusted EBITDA to be between $13.8 million and $14.3 million compared to third quarter 2006 adjusted EBITDA of $15.9 million, and net income per diluted share to be between $0.08 and $0.09. Our third quarter outlook reflects the following; same station net broadcasting revenue to be between $51.3 million and $51.8 million compared to $51.3 million in the third quarter of last year; non-broadcast revenue increasing to approximately $5.9 million from $5.4 million in the third quarter of 2006; same station SOI declining to between $18.7 million and $19.2 million from $20.7 million in the third quarter of 2006; non-cash compensation expenses of $600,000 compared to third quarter 2006 non-cash compensation expense of $900,000, increased marketing and programming cost of approximately $900,000, primarily on news talk stations at Chicago, Denver, Louisville, and Phoenix and on our Contemporary Christian music stations in Dallas, Atlanta and Sacramento. Continued growth from our core block programming business and our underdeveloped radio stations particularly our news talk stations, ongoing softness in the radio advertising market and the impact of recent acquisition and divestitures transactions. This concludes our prepared remarks. We would now like to open the call for questions. Operator?
Operator: (Operator Instructions) Our first question comes from James Dix from Deutsche Bank.
James Dix - Deutsche Bank: Good afternoon gentlemen. Couple questions. I guess, first it looks like your same station revenue guidance is somewhat similar for the third quarter is for the second kind of flat, up 1%…
Edward Atsinger, III: Correct.
James Dix - Deutsche Bank: Are you expecting much changing growth for the rest of the year, and if so, kind of what would be driving that? I guess secondly, just if you could outline what categories you think are somewhat more exposed to the real estate market whether that’s financing or home furnishing or how would you define that and what trends you’re seeing there? And then I guess on the news talks, how are you proceeding versus plan in terms of rating, and ratings in cash flow, satellite care LMA may have held you back a little bit, but I don’t know whether that was something you were anticipating somewhat in your plan? And then I guess the last one, and I’ll let someone else go. I think in the past you have discussed a little bit how your corporate expense includes some expenses for your online activities. Is there any way you could give us some general sense as to how much corporate is for online as supposed to broadcasting. Just, so we can get a better sense just to how corporate is comparing to your overall cost structure versus other broadcasters? And that’s it.
Edward Atsinger, III: Okay. I was trying to write your questions down James, and I had only got two of them, but as far as the categories that are more vulnerable to the softness and the whole financial sector, we do, do a good bit of mortgage business on all of our stations. But particularly our News Talk stations and our Christian Teaching Talk stations, so we have experienced some difficulty and I get some of the markets that I mentioned in my report of both in the Christian Teaching Talk side with the decline in advertising revenue and on the News Talk side that has been a significant factor. We still have mortgage business. We haven’t lost at all, but there has been a decline in it, that’s significant. I can’t quantify it with more specificity. As far as your second question goes, I didn’t get it all written down maybe Evan maybe you got that.
Evan Masyr: The first question about same station revenue growth for the rest of the year and how we see that…
James Dix - Deutsche Bank: Yeah, just look like third quarter looks somewhat like a copy of the second quarter, that’s something we should assume or is there drivers that might change that?
Edward Atsinger, III: It looks pretty similar. I mean, when you ask revenue, and when you ask growth I assume you know do you mean revenue, do you mean SOI or both. And if you are asking the question in terms of how it compares with second quarter, the guidance we are giving is pretty similar to what we gave before. It’s a little more difficult in this environment. We’ve been pretty good on the revenue side. We have been a bit conservative on the expense side, which has produced a better EBITDA. Part of the reason for that is that it’s a little more challenging to get the number right on the expense side because we’ve got some significant creative components in the budgets. We’ve talked about marketing and promotion. And you budget a certain amount, you don’t really, you’re not really always certain you can spend it all, if the accretive doesn't come out the way you want it or conditions change sometimes you pull back on some of that budget. And our managers with a 100 units out there, basically the reports we get, they want to deliver what they are promising. So, there is no conscious attempt to be overly conservative here. We are trying to give you the best guess that we’ve got. The last two quarters we’ve been able to do better on the expense side, whether or not that will be through in the third quarter. We can’t say the guidance, we’re giving today is guidance that we think is our best call. As far as corporate expenses for online go, well, David Evans new position, executive position is almost entirely devoted to new media, I mean, its new title interactive, publishing and the title that I mentioned is entirely devoted to new business development. Now most of that relates to online. There is a good piece of it that relates to publishing. But I’d say maybe two-third is online and one-third is publishing. And so, that portion of his compensation and benefits basically could be looked at as entirely devoted to the online business. I don’t know Evan what else.
David Evans: Yes, the only other thought I have, as far as, corporate expenses devoted to online as we have some internal resources on the accounting side that devote time to the online business. But, that’s really not that significant.
Edward Atsinger, III: Also we have some graphic artist to do some creative things for the entire company in all divisions, and they probably make some contribution online as well. But it’s not that significantly large figure.
James Dix - Deutsche Bank: Okay. And I guess the last one that I had was, where do you stand versus plan on your News Talk ratings and cash flow especially in light. What’s going on with KRLA?
Edward Atsinger, III: Well, we feel good about where we are with the News Talk stations. I mean, that we are trying, the whole goal here is to try to develop franchises. And if you establish a franchise and it's really a successful, it’s very difficult, it’s very challenging, it takes a lot of time, and a lot of right decisions. And so, we are comfortable with the progress we are making. KRLA’s audience share is good, their challenges seem to be primarily weakness in the LA market, the last quarter and then that’s coupled with some internal sales challenges that they have. But they are on top of the ladder, and they feel they’ve got momentum. Their product has never been better. They feel very good about it. We've done, we’ve committed some significant dollars to research in that market, and we think we have a pretty good handle on the direction that we need to go with it. So, we still remain optimistic that these underdeveloped News Talk stations can continue to make progress. And, we feel that Chicago is one that will continue to move along, we are seeing good progress there. And we have to measure them primarily in terms of Arbitron, and that data is accessible to you, I mean, it’s all the matter of public record and we see progress there.
James Dix - Deutsche Bank: Okay. Great. Thank you.
Operator: Thank you. Our next question comes from Victor Miller from Bear Stearns.
Chris Ensley - Bear Stearns: Good afternoon. It's Chris Ensley. And I have a question on, I think you answered it on the expense side. We were expecting and I think you got it to four to five and it came in kind of flat and you talked about marketing and promotion and perhaps you didn’t spend which you had intend to. So I guess the question is, does that mean you did not spend it or does it just mean that shifted out of second into third, it just wasn’t spend, when do you thought you'd spend it? And then the second question is on, the national and network side of business seems healthier than the local side for some of the companies we follow its just the opposite. I was wondering, if you have pulled it apart and figured out why is the disparity there?
Evan Masyr: I'll take the first question with respect to the expenses in the marketing. I think we have a little bit of both, I think there are some markets where, we've looked at some of our historical spend and we're not necessarily seeing with accretive that we currently have, that its really driving ratings, so there are some markets where we sort of pull back and said okay, we're not going to spend right now. Sort of pull it for the foreseeable future, but then in other markets that’s spilled over from Q2 to Q3 as you saw in our guidance. We're going to spend almost $1 million and $900,000 more in advertising in Q3, '07 versus Q3, '06 or some of that is movement from the prior quarter.
Edward Atsinger, III: And with regard to national and network revenue versus local being a bit of anomaly with regard to the rest of the industry. Remember that most of our national business and all of our network business, virtually all of our network business is produced by our own division Salem. Salem Radio reps, the sales arm and Salem Radio network is the network arm. And again it’s the nature of the product its more of a targeted audience and we kind of control that space and we’ve been able to grow that business pretty consistently, much like our broad block programming. It’s targeted to a very specific audience. It does not seem to be as a volatile as a general market business. Then we’ve gotten also lot of business that sort of driven at a bit from Hollywood. There is an awful lot of family friendly films that Hollywood I think began a year or two ago to get the message that there is a big audience out there, a big market out there that would like a stuff that's, you can describe is safe for the whole family, family friendly and Hollywood has been between a lot of products and they’ve been relying on our network and our national spot buys to drive the audiences and that’s increased force. So that’s been another thing, its been driving at force. But essentially, because it's targeted, its a little bit inconsistent with the general market, national and network business.
Chris Ensley - Bear Stearns: Thank you very much.
Operator: Thank you. Our next question comes from Bishop Cheen from Wachovia.
Bishop Cheen - Wachovia Securities: Hi everybody. Thank you for taking call. Couple of quick questions here. Let me build border for you, the timing of the $4.5 million Portland pending acquisition under present LMA at this point, just got to make sure that’s the only other thing pending that you’ve announced divestitures and acquisitions. I just want to double check the availability vis-à-vis the spring line credit facility and the revolver and last kind of look at what state awaits this seven and three quarters in this booming December call because you certainly brought your leverage down on an actual basis onto 6 times and definitional, it’s lower than that. So, I am wondering if that’s your appetite to recap those.
Evan Masyr: I’ll take the latter two questions. Ed, you can take the first one. With respect to availability, we have probably just under $16 million available on our credit facility, as of June 30th. And then with respect to the 7 and 3 quarters notes, I mean, yes, there is call date, mid-December of this year. We’ve been looking at ways that might make sense in that present value, positive manner to call those. Right now, we are still evaluating that and looking for ways to do that in an effective manner. And if we do come up with something we’ll, obviously, announce that and call those.
Bishop Cheen - Wachovia Securities: In fact, me too.
Evan Masyr: Yeah.
Bishop Cheen - Wachovia Securities: We can compare our notes.
Evan Masyr: Excellent.
Bishop Cheen - Wachovia Securities: Okay. Thank you.
Evan Masyr: With regard to, but in a little different aspect, you mentioned the pending $4.5 million acquisition of -- in Portland for the AM, that’s on an LMA and we expect the alignment will continue for some time. It could continue for over a year or more, well into next year and even beyond. It’s dependent to some extent on some technical improvements and the slight changes that are involved. And by the way, Bishop, we did that. We are doing our news talk format on that facility. It’s a very good facility. We are very pleased with it. We were doing our news talk format on an FM. We had a third FM in the market. And we felt that there was a better use of that facility for news talk. We can do that quite well on AM and that would free that up to develop it in another area. And on March 28th of this year, we flip the format to a regional Mexican format. It's not necessarily a strategic format for us, but there is an opportunity there and there is no FM doing Spanish language programming in that market with a very large Hispanic population. Almost 11% of the population is Hispanic in Portland. We're very pleased in the first book we’ve just completed. That station came out number two and it's target demographic 8 adults, 18 to 34. We're pleased with that. It holds a 2.7 share, 12 plus and I think when you extract the last month of the first book that was in, it was a 4.2 for the month of June. So, we're very, very pleased with the way that that has developed. That 2.7, which we think will continue to grow is aggregated. If you aggregate all of the other AM stations in the market doing Spanish language, the 2.7 exceeds all of them aggregated together. So it’s a great success right out of the shoot. That was the strategy for picking up the LMA on the AM in Portland. And so, we're optimistic that will be a very good move for us.
Bishop Cheen - Wachovia Securities: Is that a nighttime signal as well?
Evan Masyr: Well, it's an FM. Which one you are you talking about? Are you talking…
Bishop Cheen - Wachovia Securities: I know a bit moving around at KKFM, which is 910 AM?
Evan Masyr: Yeah. No. That's a full time station with an outstanding signal day and night. It is a full market signal day and night. It is better than our 800 signal that we have. It is also a full time signal in the market. And we're very pleased to be able to get it.
Bishop Cheen - Wachovia Securities: Okay. Right. I think that that was the end of it. You gave me all three answers. I appreciate it.
Evan Masyr: Excellent. Thanks, Bishop.
Operator: Thank you. Our next question comes from Lee Westerfield from BMO Capital.
Lee Westerfield - BMO Capital: Thank you, gentlemen. Good evening. Just two questions if I can may. For my first, David if you can tell me about any advances that you guys have made in your internet sites with regard to what providers you are using, if any, to help you monetize traffic at the sites and what your plans maybe over the next six months in that regard. And then secondly, back at the, of course, core broadcasting business and you may have touched on this already, I apologize if asking regarding the question, but on Dallas, how the Dallas station fare during the last quarter and what you see going on there?
Evan Masyr: Well, I can handle the last one real fast. Dallas’ book just came out. It is for this third straight book in a row, number one in its target demographic, number in female 25/54. I think number three in adults 25/54. We’re quite pleased with the progress of that station. Spot revenue was up 12%. So, it just continues to chug along. It’s just very nice franchise force. David Evans is online here and he can answer your first question.
David Evans: Lee, just remind me of your question again?
Lee Westerfield - BMO Capital: Advertising or other monetization of your websites.
David Evans: Yeah. You mentioned other providers for all of our websites, we use our own sales force to generate advertising revenue. Principally because, we try and target sweet spot advertisers, who will get better results on our website than if they were in a general market website. So, most of our revenues is generated internally through our own sales force, as opposed to using Google or Advertising.com. We focus on doing it ourselves because we think we get higher rates.
Lee Westerfield - BMO Capital: Fair enough. Gentlemen, thank you.
Operator: Thank you. Our next question comes from John Klim from Credit Suisse.
John Klim - Credit Suisse: Hi. Good afternoon. Could you touch on your top priorities in terms of the use of free cash flow and specifically, as it relates to potential share repurchase program? And then, when should we begin seeing margin expansion to other media segment? And where do you anticipate margins of that segment going over the next few years? Thanks.
Edward Atsinger, III: Well, we have announced and discussed in past calls, the fact that as we see this business becoming more of a mature business that we think that trying to get to a place in the future where regular dividends are a standard part of our operation. It’s still something that we have as a target. We have not taken that action yet, but our Board certainly has discussed it. We have had a share repurchase program in place, off and on for the last couple of years, I think, probably going back seven-eight quarters. And we will continue to look at that and continue to be involved in this and doing that as an option depending upon the availability of capital and our margin leverage ratio and how comfortable our Board is with that particular place we are with leverage. So, we will look at paying down debt. We’ll look at share repurchases. We certainly have been active in that and I suspect that we will continue to have an interest in that area and we will continue to look at dividends as we think they are appropriate. All three will be areas that we will look at. Additional acquisitions, as a use of capital a possibility but right now we are holding back and we want to try to observe what we have. We still have a good number of underdeveloped stations that we’re focusing on operations. And until the credit market stabilize a little bit; I don’t think that we’re going to be real aggressive in terms of acquisitions. As far as margin expansions for the online business, for the Internet business and publishing. It’s hard to say, we are very bullish on these businesses. They continue to do very well. The folks that run these divisions for us always deliver on what they tell us they’re going to do. And we think it’s a time to really try to grow those businesses and if it means investment both in marketing and in expansion, we think this the time to do it. Particularly, since it’s a relatively small piece of our total use of capital and so we probably continue to do that. I think that the margin expansions would be better if there wasn’t softness in the publishing side. And part of our strategy with the publishing side has been to create an infrastructure. So that as new opportunities arise to move into specially, particularly magazine areas, we have the infrastructure in place. So, we’d like to make more money with it. But we’ve been investing for several years to establish an infrastructure that will allow us to move very quickly to take advantage of opportunities. Particularly, spin-offs to save some of our online businesses and we see those as very real possibilities. If you just look at the online business, the margins have actually been expanding, but the thing that’s been holding that down a little bit is, we always couple those results with the publishing business and add softness, as we try to develop a appropriate infrastructure has masked that growth. That’s a bit of a big ambiguous answer but probably the best I can do right now.
John Klim - Credit Suisse: Yeah. Thanks.
Edward Atsinger, III: Thanks John.
Operator: (Operator Instructions) Our next question comes from Jim Goss from Barrington Research.
Jim Goss - Barrington Research: A couple of questions; one, to the extent that you are displacing some of your own Salem Radio network programming, as you try to establish franchise in some of your News Talk stations. Can you use that content elsewhere, either on a different day part or on a different station your own, or consumably even another competing station, if they would have it and you think it wouldn’t do anything except driving your franchise in that market? And then, why don’t you take that and I'll come back to a couple of others?
Edward Atsinger, III: Well, yes in almost in all cases, if we displace some of our own network talent, there is nothing that prevents us from affiliating with other stations. For example, in markets and we do that in a number of markets, like Gallagher is probably got one of the highest affiliation numbers of any other talent that we syndicate and yet his is probably, his penetration are owned, in operating stations its probably the lowest. The number of markets that we’re in, for example I think Seattle I can, but not sure, but a little dangerous we’re doing this, remember there are number of state markets that we’re in. Well, Mike is on a competing stations. So, yes we can and we are open to that. And Bill Bennett for example is on, we’ve got a deal this serious where we’re syndicating with serious satellite radio and that, you know we’re compensated for that is a good arrangement for us. And so that makes same available from another medium and we’re very open to doing that with any of our talent.
Jim Goss - Barrington Research: Okay. And you’re doing that right now in some of the stations where you did take them off in favor of original local programming?
Edward Atsinger, III: Yes. Well we’re doing it. We’re willing to do it. If we’re not doing it, then we can find an affiliate who are quite prepared to do it.
Jim Goss - Barrington Research: Okay. Also I know you’ve talked in the past about your ad categories for your traditional Christian Teaching and Talk stations tend to be unique relative or at least different from that in the normal fare among radio groups and you’re off 13% I think you said in that area, this quarter. I was wondering if you may talk about, what was soft in particular there, if there’s anything you can draw attention to?
Edward Atsinger, III: Well, I can comment on that in part and then either Eric or Evan might expand on it. We do, do very well with mortgage business on those stations. Most of that audience would listen to Christian Teaching Talk programming, our adult, you know, 35 plus high percentage of homeowners or want to be homeowners so, we do fairly well in home improvement categories and in mortgages categories. And I think we have been hurt a little bit on the mortgages category across the board. I can't really quantify specifically where else its just general weakness, I think that it’s probably been impacted disproportionately by declines in New York, San Francisco and Washington DC. Those three markets, which are very large markets that have the big declines if you remove those there probably wouldn’t be a much of a decline in the advertising revenue. So that’s distorts it a little bit. But I do know that certainly in the mortgage business, which is a big category for that format, we have seen some decline in the contraction due to the current situation.
Jim Goss - Barrington Research: And lastly does it seem that the block programming revenues are increasing their relative share that 61% number seemed a little higher than it had been and perhaps its turning up because you’re still getting pretty good percentages there. And the pass of add weakness elsewhere?
Eric Halvorson: You know, as I think you’ve got two things going on. You’ve got our block programming increasing. We went there, our national program renewal rates early in the year and we’ve got a 5% increase, yet we are having some challenges on the advertising market. So that mix is shifting to make the stations a little bit more prevalent on the block than it was previously.
Evan Masyr: Right and, you know, the 61% block revenue is for the Christian Teaching and Talk stations. The mix has been, you know, may be closer to 50-50. But one of the factors that has distorted that a little bit is the fact that we reformatted the Miami station in January from a News Talk station to Christian Teaching Talk station. And when you do that in the reformat process, your block programming revenue comes right away. Your advertising revenue will take several years to develop. I mean you presale you go in with your block programming. So that tends to kick it up a little bit and when we acquired Detroit, which we’ve had a couple of years now. We also did a lot of reformatting there, and we added some block program revenue. And I think that maybe part of the reason why that is kicked up a little bit. I don't think that, going forward, that the historical relationship between block program revenue on those stations and advertising revenue will change a whole lot. And I think it will go back where the advertising will comeback a little bit more and you get closer to the historical pattern.
Jim Goss - Barrington Research: All right. Thank you. That's very helpful.
Operator: Thank you. Our next question comes from Tim Harris from Brown Brothers.
Tim Harris - Brown Brothers: Hi. I wanted to ask about the full year cash flow from operations and CapEx and free cash flow for 2007, if you could comment on that? And then separately, I wanted to just ask who you’re buying the Portland station from and how much EBITDA you think it will produce in a run rate basis in a one year period?
Edward Atsinger, III: Well, with regard to your last question, I can take a shot. I mean, we're buying the station from Intercom. In terms of its cash flow, I don't have that in front of me. We certainly, when we do our due diligence intend that we can get a cash flow, a cash flow that’s consistent with what we've invested and it's $4.5 million, is the investment. However, that investment only takes place when we end the LMA and the LMA may not end for couple of years. And the LMA rate that we're currently paying is something below the cost of money. So, it's an attractive arrangement for us. So, probably if you did an analysis of the actual time analysis money factored in, you probably are closer to 4.2. We certainly want a cash flow enough, so that on the current multiple of our stock price, we are generating enough cash flow that it’s not dilutive and that it’s accretive.
Evan Masyr: With respect to your question about free cash flow and CapEx, obviously, we don’t give full year guidance on CapEx. But if you look at through the six months, we were about $8.8 million of capital expenditures. We’ve been trying to keep a focus on CapEx. We do look for opportunities to upgrade some of our stations. That’s why in the past you’ve seen some of the large CapEx dollars. But we felt that during the best long-term interest, a lot of times it can produce additional income, because we can reach more people with their technical upgrade, things of that nature. So, like I said, we spent about 8.8 year-to-date. Free cash flow, I would probably show through the year, year-to-date, if you take into account acquisitions and dispositions and all of our CapEx, probably about $14 million of free cash flow, probably $10 million if you take out or south of $10 million, if you take out some of the acquisitions we’ve had. And that’s been the run rate for the first half of the year and I don’t anticipate it being drastically different for the second half. But again, that’s not something we give guidance on for the year.
Tim Harris - Brown Brothers: And when you’re talking about the free cash flow there, how are you defining that?
Evan Masyr: I’m taking sort of adjusted EBITDA, backing out interest, cash taxes, CapEx and then adding back asset sales.
Tim Harris - Brown Brothers: Okay. Thanks guys.
Operator: Okay. Thank you. There seems to be no further questions at this time. I’ll turn the floor back over to your host for any closing remarks.
Evan Masyr: Thank you, again for joining us for the second quarter call. We hope you will join us again when we report our third quarter earnings, and good afternoon and good evening.
Operator: This concludes today’s Salem Communication’s conference call. You may now disconnect.